Operator: Good day and welcome to the Logitech Fourth Quarter Financial Results Conference Call. At this time all participants are in a listen-only mode. We will be conducting a question-and-answer session and instructions will follow at that time. This call is being recorded for replay purposes and may not be reproduced in whole or in part without the authorization from Logitech. I would like to introduce your host for today's call, Mr. Joe Greenhalgh, Vice President of Investor Relations and Corporate Treasurer at Logitech.
Joe Greenhalgh: Welcome to the Logitech conference call to discuss the company's financial results for the fourth quarter ended March 31, 2015. The press release, our prepared remarks and slides as well as a live webcast of this call are available online at logitech.com. As noted in our press release, we published our prepared remarks on our website in advance of this call. Those remarks are intended to serve in place of extended formal comments today and they will not be read on this call. During the course of this call we may make forward-looking statements, including forward-looking statements with respect to future operating results that are being made under the Safe Harbor of the Securities Litigation Reform Act of 1995. The forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated in the statements. Factors that could cause actual results to differ materially include those set forth in Logitech’s Annual Report on Form 10-K dated November 13, 2014, and subsequent filings, which are available online on the SEC EDGAR database and in the final paragraphs of the press release and prepared remarks from Logitech reporting fourth quarter financial results for fiscal 2015. The forward-looking statements made during this call represent management’s outlook only as of today and the company undertakes no obligation to update or revise any forward-looking statements as a result of new developments or otherwise. Please note that today’s call will include results reported on both a GAAP and a non-GAAP basis. Non-GAAP reporting is provided to help you better understand our business. However, non-GAAP financial results are not meant to be considered in isolation or as a substitute for or superior to GAAP results. Non-GAAP measures have inherent limitations and should be used only in conjunction with Logitech’s consolidated financial statements prepared in accordance with GAAP. Our press release includes a table detailing the non-GAAP measures, together with the corresponding GAAP numbers and a reconciliation to GAAP. This information is also posted on our Investor Relations website. The slides that accompany this call include both GAAP and non-GAAP measures and are also available on our Investor Relations website. We encourage listeners to review these items. This call is being recorded and will be available for replay on the Logitech website. Joining us today from Zurich are Bracken Darrell, President and Chief Executive Officer; and Vincent Pilette, Chief Financial Officer. I’d now like to turn the call over to Bracken.
Bracken Darrell: Thanks, Joe and thanks all of you for joining us. Fiscal year 2015 was a very strong year. In two years we've tripled our profits, we've delivered the highest earnings per share this year in seven years and we've transitioned the company into growth mode. Now let me give a brief overview and I'll also give you a few telling facts that will show you our business model is working well. As you know, our basic business model is two key things, optimize profit and PC peripherals and build new categories that will become sustainable growth engines. It is that simple. So how are we doing optimizing process? Not only did we deliver our three-year goal in year two, we also over-delivered virtually every line item of our profit improvement goal, gross margin, overhead or OpEx, and operating income. In short, we crashed this goal. This year's operating income is not only the best since 2008, but we tripled profit between fiscal year 2013 and fiscal year 2015 and actually delivered the second strongest EPS in the last seven years, all that even though the PC market was down. The iPad market was down even more and the dollar strengthened radically. As our founder would often say, we didn’t miss because of market, we missed a currency upheaval. We delivered in spite of it. So I think you'll agree our profit optimization strategy is working well. But as I said at our Analyst Investor Day, our transition to becoming a growth company is also working very well. Looking at our business from a distance, one might say, how can you claim that the growth story is working very well Bracken, when you reported net sales in FY '15 were flat? Well the answer is that it is clear once you look more deeply into the business that we are growing. But to understand our real existing growth rate you need to dissect our business just a little bit. Vincent and I will do that now. I'll also share some telling growth facts underneath that. Let me start by saying that we are growing 6% in Retail Strategic and that's the most relevant growth rate. Why is this 6% Retail Strategic constant currency growth rate the most relevant? First, I suggest you exclude OEM and Lifesize. Neither is central to our strategy and more importantly, together they operate at breakeven contribution, more on that later. That makes Retail Strategic 90% of our net sales and 100% of our profit. You will also notice I ignored the things we exited in fiscal year 2014 through all our fiscal year 2015 comparisons, have all the fiscal year 2015 comparisons, have them in the base. Strategic Retail is just retail for fiscal year 2016. So our real growth rates for the company figuratively speaking is 6% for fiscal year 2015 and our back half and exit rates for Q4 was actually 7%. And the really cool thing is they way we're growing new businesses. Remember we've grown three new businesses from essentially seeds to real businesses in just the past three years. These businesses, Bluetooth Speakers, Video Collaboration and Tablet Accessories are all virtually new in the past three years and they generated $380 million in sales in fiscal year 2015. This year alone, our growth categories, those three categories plus reinvigorated gaming were up by 28% in constant currency. And that growth rate as we exited the year was even stronger at 45% in Q4. If you're starting to appreciate the growth story, let me tell you more exciting things. Let me show you how much it has changed our profile just one level below the surface. Here is some telling facts you haven’t heard from us before. Remember when we said a few years ago that we would do fewer, bigger products with great designs? UE BOOM was not only our biggest product in fiscal year 2015, it is now our biggest product ever, best this year and best in the almost 34-year history of the company. Our Bluetooth Speaker business more than doubled and we are off to a strong start with our next music product, the UE MEGABOOM which was launched last quarter. It immediately became one of our top five products as well. And this fewer, bigger strategy is not just working in music. Let's look at an example from Video Collaboration. The Logitech ConferenceCam CC3000e has become bigger than any standalone keyboard. That's right. That one product is larger than any single standalone keyboard we make. Naturally, it too is one of our top selling products for the year and the quarter. Our overall Video Collaboration business also more than doubled this year and we're building on that momentum with a the Logitech ConferenceCam Connect a portable all-in-one video conferencing solution we began shipping at the end of Q4. One more example of the fewer and bigger focus is gaming. We launched G502 Proteus Core Tunable Gaming Mouse this year and almost immediately became not only our biggest gaming mouse but helped propel our overall gaming business to 43% growth in Q4 and 28% for the full year. That mouse too is now also one of our top selling product. In fact, five of our top 13 products in the company are now from our growth categories. I'm really excited about the growth story as products, because we love our products. Let's now look at our transformation from another perspective, regional sales. Overall we have very good momentum. In the Americas region we delivered a second straight year of high single-digit growth with growth of 9% in constant currency. In Asia-Pacific we delivered two straight years of low single digit sales growth, but Asia-Pacific growth in the back half started to look like the mouse growth in the past few years. Q4 and the constant currency showed strong acceleration to 11% and EMEA, even with all the noises of a sluggish year, if you double click on our EMEA business you'll find a nice surprise. Our sales performance in EMEA is stronger than it appears. The combination of the U.S. dollar and extremely weak Russia and UK markets, obscure quite a story. Our constant currency sales in the EMEA excluding Russia and Ukraine grew 11% in Q4. So our growth tells us that customers like what we're doing. We also have another kind of growth occurring, growth in our reputation for design. We have strong momentum with design and innovation experts. We're winning more design awards than any year ever in the company's history. Just last month we announced that six of our products were honored with Red Dot 2015 Design Awards. Over the last two years we received almost 50 prestigious design awards or product design awards in any period in our history and we expect more to be coming soon. Now I'll hand it back over to Vincent for more details on our performance.
Vincent Pilette: Thank you Bracken, and good afternoon everyone. I'm also very pleased by our Q4 and full year performance. For the second year in a row, we finished our fiscal year with better than expected results and this time despite a significant headwind from the stronger U.S. dollar. Our underlying growth drivers are improving significantly as Bracken highlighted with our Retail Strategic sales up by 6% in constant currency in fiscal year 2015. We improved our gross margin for the second year in a row and delivered a record gross margin in FY '15. We reduced operating expenses in absolute terms for the second straight year and achieved the lowest level of spend in the last five years and as a result we delivered our highest EPS in the last seven years. And we continue to general strong cash from operations achieving record cash conversion cycle in FY '15. Also we have a lot of work in front of us to capture our full market opportunity and navigate through the changes of global currency headwinds we are very excited by the momentum we have exiting the fiscal year 2015. As I come back on a few numbers let's start with our operating profit. For fiscal year 2015, we delivered non-GAAP operating profit of $191 million well above our initial turnaround target highlighted here in Zurich about two years ago. The strings 9% operating profit margin achieved in FY '15 compares to 6.5% profit margin a year ago and 3.1% two years ago. The accelerated profit improvement was driven by our higher gross margins and disciplined spending combined with improvements to the fundamental growth drivers such as innovation, product design and distribution effects. Our FY '15 non-GAAP gross margins improved by 190 basis points to a record 36.8%, while our gross margin did benefit from nonrecurring events, our rate improvement mainly reflects the success of our product cost reduction initiatives. We achieved gross margin improvement across all product categories in our profit maximization category by more strategically managing product design and component costs. In the growth category, we improved gross margin as we scaled the business. As an example, gross margin in the mobile speaker category improved by about 400 basis points year-over-year and has become a good proof point of the advantage of scale in that category. Going into fiscal year 2016, we face currency headwinds of historic magnitude will significantly impact our gross margin. We have deployed pricing increases across most of our products in key impacted markets. We have developed new cost reduction initiatives specifically related to the decline in oil price and the dollar appreciation. It will take time to see the impact of those actions, but we are confidently maintaining our long-term gross margin target of around 35%. On the operating expense front we continue to demonstrate disciplined spend management with our non-GAAP operating expenses down for the second consecutive year and falling below $600 million for the first time since fiscal year 2010. The spending reductions we delivered go beyond what you can see in our results as we use some of the savings to invest in future growth, particularly in support of our growth category. Our infrastructure spend was down 11% year-over-year, while our business spend R&D, marketing, and sales was up 2%. Non-GAAP G&A was down to 4.6% of net sales on track to achieve the long-term business model of around 4%. Disciplined spend management which means not only making every dollar more effective, but also generating savings to invest in our growth engine has become part of our organization's DNA. It will service well in fiscal year 2016 as we accelerate the transformation of our internal support functions towards our long-term model. Savings from this accelerated transformation will be used to offset currency headwinds and to invest in R&D and shares to support our growth opportunities. Moving on to cash flow, Q4 was another very strong cash generation quarter driven by the improvement we have made managing our working capital. Our cash flow from operations for the quarter was $42 million driven by cash conversion cycle of just 26 days, the second best in our history in Q4. For FY '15 we generated cash flow from operations of $179 million with our cash conversion cycle reaching an all-time low of just 23 days. Moving forward, we have slightly adjusted our inventory strategy. We ended Q4 with high inventory balance compared to the prior year. A portion of this increase was related to the West Coast Port strike in the United States, but much of it was driven by our strategic actions. We saved in our Mobile Speaker category and Video Collaboration category doubling for the second year in a row, we chose to invest in more inventory for those categories in support of our strong sales momentum. Additionally, as one example of our cost reduction initiatives we have implemented a strategy to reduce airfreight expenses by building products early enough to allow for shipment via sea. As a result of this operational shift we expand that our inventory levels during fiscal year 2016 will be somewhat higher than what they were during most of FY '15. Our strong cash position continues to be the foundation of our capital allocation strategy focused on small acquisitions as a priority, annual dividends and opportunistic share buybacks. As we shared last month we're trying to payout $250 million in dividends for FY '15 to FY '17. Regarding buybacks, we have $248 million remaining in our current program which we began to use last quarter. Let me wrap up my comment by focusing on currency. The fiscal year 2016 outlook that we share at last month's Analyst and Investor Day, assumed that the Euro-USD exchange rate was at 1.12 it has fallen well before that rate so far in FY '16 and there is little reason to believe that it will reach or exceed that planning rate in the near future. As I mentioned, we are taking a variety of actions to offset the impact of a stronger dollar including double-digit price increases for our products in a number of markets. Keep in mind that holding our non-GAAP operating income outlook constant in the face of increasing currency headwinds indicates in fact an effective increase in our outlook and in our underlying efficiency. In constant currency our FY '16 operating profit outlook would represent approximately 35% growth if the currency rates stay at the level they are today. The structured changes we are making to the business will position us very well to reach our long-term level faster once the currency for activity has settled. And on that note, I'll turn it back to Bracken.
Bracken Darrell: Thanks Vincent. I want to close on how we'll continue to build a great design company in the years ahead, an innovation company with strong sustainable growth. Before I do, let me add a comment to Vincent's about the strong dollar. While this creates some short term pain, we are assuming the strong dollar is here to stay and we're playing offence, going on the attack, by treating this as an opportunity to accelerate our transformation to strong growth. We're doing things right now that we might have done more gradually had the dollar appreciation never happened. Let me share some of these key actions with you. First we're focusing our entire company on our Strategic Retail business growth. In that regard, we're actually increasing our investment in growth categories, so-called plants and seeds. We continue to approach future growth categories or seeds with small startups to our teams. Remember, growing from seeds to strong growth businesses is not new to us, as I mentioned earlier. In fiscal year 2015 we generated $380 million in sales from Mobile Speakers, Tablet Accessories and Video Collaboration, all businesses that started as seeds within the last few years. One consequence of our focus on our retail business going forward is that we've begun the process to exit the OEM business. It will be gradual or fiscal year 2016 as we'll honor our commitments to customers we'll extent over varying periods of time. We're working through the operational details of this transition with our customers and we'll share more with you over the coming months. This business gave birth to Logitech and our final exit permit is now the real symbol of just how far we've come from to small offices, one in Apples, Switzerland and another on the top of a bicycle shop in University Avenue in Palo Alto. That little company originally served PC makers. We've become an innovation company creating new businesses under our own brands. Logitech has transformed. Regarding our Lifesize business we continue to see significant momentum in its new cloud based video communication offering. In the nine months since its launch we have acquired more than 1100 customers, almost every week hitting new peaks in concurrent cloud calls. And usage as measured by unique monthly callers has been doubling every quarter. Looking at this fast growth rate we decided to reorganize Lifesize with a goal of deemphasizing Lifesize's legacy offering more quickly to enable maximum traction with Lifesize goal. Like our move in Logitech to exit the nonstrategic parts of our business, we've begun to do the same with Lifesize and we'll then double down the cloud opportunities to grow faster. This business is obviously not synergistic with our focus on Strategic Retail. We're implementing these actions and considering others to optimize the value of this unique asset. Another key step we're taking is streamlining our overall cost structure through product, overhead and infrastructure cost reductions as strategically targeted restructuring. This realignment is based on an analysis of each of our key business areas rather than an across the board head count reduction. We will reduce positions in some areas and increase them in others like software with the goal of becoming a faster, more profitable company, with capabilities well aligned to our growth businesses. Over the coming year the restructuring cost is expected to be between $15 million and $20 million, with the savings used to continue fueling new capabilities to expand growth and offset currency headwinds. That brings me to our outlook for fiscal year 2016. Consistent with last month Analyst and Investor Day, our outlook for fiscal year '16 non-GAAP operating income remains $150 million. We’re planning to deliver that in spite of the uncertainty around the length of transition period to exit OEM as well as any impact from shifting Lifesize to stronger focus on cloud based offerings. We’re also confirming our outlook for 7% constant currency growth for our retail strategic sales. I’m very pleased with our results in fiscal year 2015 and with the progress we’re making and becoming a growth company, best EPS in seven years, strongest constant currency retail growth in four years, a growth strategy that’s working and delivering big products. And we’re excited about the surprises in store in fiscal year 2016. Finally, we’re playing offense or in European football terms going on the attack, we’re taking this strong dollar appreciation that many of you see as - many see some kind of the crisis and turning it into an opportunity to accelerate our transformation to strong growth. We sharpened our strategic focus through our retail strategic business and are rapidly aligning the company to that. We’re generating significant cost savings and using those savings to fund current growth categories as well as seeds to drive future growth. I’m more excited than ever about Logitech’s future and I look forward to sharing updates with you as we move through fiscal 2016. And with that Vince and I are available now to take your questions. Please follow the instructions from the operator.
Operator: [Operator Instructions] Our first question comes from Youssef Essaegh with Barclays.
Youssef Essaegh: Thank you for giving me the opportunity to speak first here. I wanted to ask you about the OEM business, it still represents about 6% of your sales and now you have decided to run down this business. So I was just wondering, if this was taking into account when you first guided for 2015, sorry 2016, a few weeks ago or that wasn’t the case and this is a new decision and if so would you think it’s going to replace the OEM revenue in your guidance? Thank you.
Bracken Darrell: Youssef, thanks for question. Yes it was not considered in the guidance we gave before but we’re very comfortable that – you’ll notice we are really guiding on strategic retail and we’re assuming that we’re going to exit the OEM business over the rest of the year. The combination of OEM and Lifesize our assumption here and we’re going to manage it that way is that will breakeven essentially on those businesses, so they won’t affect the bottom line.
Youssef Essaegh: Okay. So in that case in the rest of the businesses where are you seeing the upside, is it in mobile seekers or what else otherwise?
Vincent Pilette: You just have to be very clear in the guidance. We’re guiding on retail strategic same than a few weeks ago, 7% in constant currency spot. We’re not guiding on a full year total company level for revenue because we’re still working the plan with our customer with regard to OEM and understand the full impact on topline. As Bracken mentioned, we know all the levers in our P&L, those two businesses combined run at breakeven and we confirm the bottom line guidance of $150 million despite that the currency headwind.
Youssef Essaegh: Okay, sorry I missed the revenue guidance is not there anymore, okay thank you. So sorry about that. Thank you.
Operator: Our next question comes from Andrew Humphrey with Morgan Stanley.
Andrew Humphrey: Hi thanks for taking my question. Just on the gross margin mix if I may, you had a stronger performance in growth categories this quarter certainly weaker in profit maximization which is good for topline I think but on the gross margin side of things I think typically you said margin for the profit maximization category is higher. I wonder can you talk about your full year gross margin guidance in that context, I mean that kind of just over 35% figure that you’ve given at kind of a $1.12. How does mix affect that given where you’re seeing this quarter?
Vincent Pilette: Yes. Andrew this is Vincent. So in Q4, Q4 is always a lower gross margin, we have two impacts, a higher E&O write offs as we prepare to exit the OEM business that is about counting for about a point and we have a currency impact now that start to show up, partially offset still by hedge but of 1.6 percentage point. If you add those two that gives you the kind of operational trend that we’ve been Q4 always lower but somewhat in line with the rest of the year. Moving forward we did consider the currency impact, we have pricing actions, we did consider cost reduction and we still maintain an over gross margin of around 35%.
Andrew Humphrey: Great. Thank you very much.
Operator: Our next question comes from Joem Iffer with UBS.
Joem Iffer: Thanks for taking my questions and first one would be on the average selling price hikes and has this already happened to distributors and retailers or is this still in process and what is the acceptance level here among the customer sides and do you also – competitor doing this or waiting before marketing a lot changed doing this and update would be appreciated. Next one please on the restructuring cost of $15 million to $20 million what is your cash, what is non-cash and can you give us some more details on the benefits here reduced headcounts or roughly could be the percentage and other structural savings and if you are stating that you reinvest this is growth, does it mean your growth for the future is becoming more (capital intensive). And the last question would be please on momentum starting into Q1 2016 if you are on similar run rate like you have exited Q4 2015. Thanks very much.
Bracken Darrell: Okay, I will take the first and the third one. And then I will hand up the middle one to Vincent. So in terms of pricing, yes the pricing actions are communicated they are underway and virtually everywhere where – raising price around the world which is most of the - most of the markets that are non-U.S. or U.S. dollar based. The communications happened, you’ll start to show up with customer sometime in the late April through the end of May, I think we will start to see it in – I think it will be start to be effective in Q1. I can’t speak for competitors obviously on what they’re doing for a pricing standpoint, what I can say is when you look at the computer industry as a whole or the electronics industry at whole, you’re just hearing price increases every day. I mean they are going across and even when I meet with customers they almost seem as I have - customers they seem not only not surprised but sort of waiting for us to raise price. So, I’m optimistic that the pricing will go through as planned. It’s little too early to say how where we’ll end up on that but we have certainly been aggressive on the pricing side. On the momentum coming out of the quarters really too early to say. This is a very beginning of our quarter, so it will be very premature for me to give you any glance on that. But I feel very good about the momentum coming out of Q4. We finished the back half of the year, the entire back half of the year with 7% constant currency, strategic retail growth and that’s strongest half year period we have had yet and I’m optimistic we’re going to deliver the guidance for this year on strategic retail.
Vincent Pilette: Joem this is Vincent on restructuring, most of the restructuring cost will be cash items in term of impact, the majority of the impact is for OEM and Lifesize and then the third dimension as Bracken mentioned is the realignment of our infrastructure functions to their and state business model, these – the savings coming from the third action will either be used to offset, stronger currency headwinds if that is the case or used to invest in new capabilities like R&D and software or new funding if you want to see for future new categories. It’s not really that it is more capital extensive is that we creating the OpEx room in our P&L to be able to fund the future mid-term and long term growth. Going into Q1, Bracken give you the, the momentum on the top line in term of impact on spend, you should see an OpEx that slightly flat to declining moving into Q1 and obviously the big unknown we’re still working through all the detail of our customers is the length of the transition of the OEM business as we exit that business. And that is why we chose to focus our guidance on retail strategic but confirming to investors that we feel very confident in our overall operating guidance of $150 million for the full year.
Joem Iffer: And thanks very much, just please one very quick follow-up on your guidance on the 7% organic growth in strategic retail taking into account I read the price actually 10% to 15% are that mean that volumes should be flattish for fiscal year 2016 in your guidance? Is that fair to assume?
Bracken Darrell: That’s a very good question, right we have lot of debate as you know it is never an easy thing to increase price and we see many dynamics in the market who will not be a loan and currencies forcing all companies to look at that. We do not want to plan for a 100% success and we do some kind of a trade-off between volume and price or price per unit, our goal really when we do those price increases to protect our gross margin or gross profit of the business.
Joem Iffer: Thank you very much.
Vincent Pilette: I would add. I think as you know we have a very strong market shares in most of our categories 40%, 50% and that puts us in a good position as we take this pricing.
Joem Iffer: All right. Thanks.
Operator: Our next question comes from with Tavis McCourt with Raymond James.
Tavis McCourt: Hey thanks. A couple of questions first Bracken on the pricing, I think you raised prices on some of the matured products a couple of years ago or maybe throughout the last couple of years. Aside from that you have any history of raising prices by this much have any evidence of what the elasticity of demand maybe?
Bracken Darrell: Yes we have had over the past we had periods in specific markets where we have raised price before. And so when currency issues have happened in individual markets in Asia et cetera we raise price, I don’t think – I think it’s very safe to say we never raised price just dramatically in Europe and I think that’s the big one. The good news on that is that and I’m sure you are hearing this elsewhere because of the incredible debt of the change in the currency and the timeframe, it has really put the whole industry in a position I think where there is a lot of gross margin paying if you don’t do something apprising. So we will see, we can only speak for ourselves, we are out there we are raising our prices and we’re confident that we’re going to make it work.
Tavis McCourt: And then a couple of follow-ups on the non-strategic businesses, so the rationale for the OEM business historically was it gave you a lot of volume I think covered overhead. What are the impacts of losing the scale from a manufacturing standpoint and its potential impact on the mouse and keyboard retail businesses?
Bracken Darrell: You can bet that we really did our homework on that tablets because that was one of the big question. As we really drilled into that, we found we are well above kind of machine minimum order quantities and minimum efficient scale in all the components that we use both in our in house mouse as well as the once we are building for OEM. So we’re convinced with the big margin of theirs as this is a good move from a profitability standpoint over the medium term. So we’re not, we didn’t find any issues there at all.
Tavis McCourt: And okay and two follow-ups for Vincent, Vincent that 7% constant currency growth guidance for retail in fiscal 2016, what would that be on a reported basis, I know OEM and Lifesize are going to be a bit of moving target this year but at least on a retail basis given where the currency is now?
Vincent Pilette: You get in term of what the rate will be FY 2016 is a good as mine but if you use yesterday’s rate the Euro, USD at 106, we would lose about 6 percentage point on a reported basis so 7% constant currency growth rate would be equivalent on a 1% USD year-over-year using 106 in FY 2016.
Tavis McCourt: Great and on Lifesize as you kind of focus on the Cloud business, some of those legacy product generated nice gross margin. Is that a business that will go into a loss making category for few quarters as you make this transition or will you cut off?
Vincent Pilette: We are still working the transition point, I think in term of the plant that we book is you had a very successful launch in the first 10 months obviously as you know is Cloud, you build infrastructure and then you need the scale to be able to be more profitable. But we don’t see a big disconnect between the gross margin we had on the infrastructure business and the cloud gross margins slightly under today but moving towards that 65% that we’ve had. So from that perspective we are not too worried. The real thing for us is for both OEM and Lifesize is managing the transition, the OEM is exiting the business and for Lifesize is really doubling down on that Cloud which will shrink the overall revenue but accelerate the growth and the penetration in our customer space.
Tavis McCourt: Okay thanks. And so Bracken.
Operator: Our next question comes from Michael Foeth with Bank of Vontobel.
Michael Foeth: Yes hello guys. One question on the OEM business exits again. Can you remind us how integrated the manufacturing of retail and OEM mice and would you eventually consider fully outsourcing or optimizing the production of both retail and OEM?
Vincent Pilette: Yes the answer to your question is they are not very integrated. Surprisingly not integrated, might surprise some of you that most of our OEM mice were not made in our factory which makes us even more logical in fact our factory now makes this may also surprise you. Our factory also makes a lot of our growth products where we have IP and knowhow that we really don’t want to share broadly with other people at least as we launch these categories.
Michael Foeth: So you will simply stop producing OEM mice in…
Vincent Pilette: We are going to stop selling OEM mice and most of those we didn’t produce.
Michael Foeth: Okay right. So is it in fact just it stays up or can you sell this business or the IP?
Vincent Pilette: That’s a good question. We got that in the press conference we had today, I think it is a declining business, it is operating, it’s very low margin business, its hard to imagine that we’re going to sell that for a lot. So I wouldn’t assume much if you think that there is a possibility of selling it.
Bracken Darrell: Our number one objective is really working with the customer and making sure we can live with that commitment and work a transition plan that would work first and foremost like us.
Michael Foeth: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from Paul Coster with JPMorgan.
Paul Coster: Thanks for taking my questions. Regarding the OEM it seems to make sense just from – you are not losing some kind of intimacy regarding OEM intentions or even that?
Bracken Darrell: Paul, you are exactly right. This is one of the arguments we made for staying saying in it to ourselves. I think as we go further end of that we realized lot of the benefit, maybe the rise in the beginning or even last decade is kind of dissipated, the kind of relationship we have ended up with the OEM we supply is great. While we think most of that relationship will be able to sustain what we need by going forward as the biggest mice player in the industry. So we don’t think we’re losing anything there.
Paul Coster: Okay. And then on the growth category side, I think we have all seen categories that experience type of growth two, three years and then slow down pretty dramatically. It sounds like you got really good momentum on the mobile speaker side minimum and also on the conferencing side. Can you talk to us little bit about whether how long you see this type of growth stays lasting for those categories?
Bracken Darrell: They’re both, I think there is still both very early stages, I am sure you want to see that kind of growth that you see at the very beginning but I think you’re going to see very strong growth over the next several years in both categories. Bigger collaboration for example there is something we would estimate, there are 20 million rooms and all will be video enabled right now but million of them are – 1 million. So there is a lot of room left, we always say for the cost of one room, one chair in a conference room you can video enable the room now. On the Bluetooth speaker side, the growth has just been extraordinary and I think we don’t see a real something that is going to really stop that undoubtedly it will start to crashed a little bit, but I think it’s going to still – for some time and I would also ask PC gaming is on a good structural growth curve and the consumer dynamics there don’t suggest there is any end of side there either. So those are three of the four growth businesses that we have where I feel really good about the fundamental category growth and we’re building more. So the new seed stuff is not in any of those categories and they are all either non-existing categories are very small as we think now exponential growth. I would add one other thing on music which I think is a really interesting Bluetooth speakers. If you look at the penetration of a Bluetooth speaker category relative to mobile phone it’s almost a small as that video collaboration, penetration of the rooms or video. So it’s very, very small and single being 2%, 3%, 4%, 5%. There is a lot of room left.
Paul Coster: Thank you.
Operator: Our next question comes from Andreas Muller with Zurcher.
Andreas Muller: Yes thanks for taking my question. I have a question on the inventory days, how many days would you say 17 days longer inventory days or structural basically changing from air freight to shipping and also holding more inventories on these growth categories?
Bracken Darrell: Yes. So on the year-over-year basis, when you look at March 31 inventory, inventory days, you’re right, we have 17 days, if you look at a dollar basis we have $50 million. I would say about half of that growth would be that structural awards that we will keep into the inventory. The rest is coming from the port strike in the U.S. as I mentioned, so about half of it Andreas.
Andreas Muller: Okay thanks.
Operator: [Operator Instructions] Our next question comes from Felix Remmers with Credit Suisse.
Felix Remmers: Hi. Can you hear me?
Bracken Darrell: Yes sir.
Felix Remmers: Perfect. Okay, thanks for taking my question. On OEM one last point not clear to me is the timeline, so how we should model the transition or the phase out here. So can we assume for fiscal year 2016 already zero sales in that category and on Lifesize what are the incremental steps you’re taking because the transition to the cloud is actually nothing new we’ve talked about at the couple of thoughts just now. So I was wondering what are the incremental steps you’re taking and I was wondering how much sales you’re generating already in the cloud here and then lastly the PC gaming appears to do on the line very well. So can you share some color on the trajectory at the moment? So last quarter you grew 24% if you adjust for everything, so is that number actually growing quarter-over-quarter?
Bracken Darrell: Okay. I am going to take couple of these and just to divide it up or let Vincent take one or two. So on the OEM timeframe it's really hard for us to say right now. We’re planning, as Vincent said, our priority really is to make sure that the customers that we serve for many years have a good transition into other places. So we’re going to manage that. I don’t know how long that will take. I certainly don’t expect it to happen past fiscal year 2016. But we will at what quarter we're actually fully out. So we will just have to see how it takes.
Vincent Pilette: If I can just add on that OEM Felix, we now have build a reputation of delivering on what we say right, and rather than throwing some numbers will it be three months or six months we just don’t know. And I think if it's possible to really build the model around retail strategic for the sales which will grow in 7% constant currency and understand that we will manage the decline of that business breakeven on the OEM side and deliver the $150 million for the full year. After that if you need to plug a number your guess is as good as mine. As soon as we have more information and an operational plan worked out with our customers then we will inform you on what it means for the full year.
Bracken Darrell: Let me take the PC gaming if I can Vincent, so on PC gaming U.S. that we see momentum is the momentum headed in our direction on PC gaming. I think the answer is yes, We're starting -- we really had a very strong quarter and really strong year on improving our mouse line up and we really got strong line up right now. We're growing a lot of market share and we see a lot more room there. In keyboards we've launched some great keyboards. We've been constrained on demand. So you're going to see us unlock that demand supply, unlock that supply especially as we exit Q2 and into Q3 when the peak season hits and then there is heads up, which have been very, very strong and I think the momentum is going to get better and better we will see.
Vincent Pilette: On Lifesize Felix, this is -- we launched the Cloud about 10 months ago. We told you that was the strategy for the asset to make more valuable shifting from the old to the new, but we’re managing a slow transition. We've seen two things. One is a very fast adoption of our cloud. Yes still small into the base. But by any SaaS business model if you want, we have a very fast start. At the same time, we’ve seen a faster decline of the infrastructure revenue and rather than trying to balance all of it, we thought we would take the opportunity now to refocus also all the sales organizations to be cloud based focused and then we still take orders for the old revenue but we are not going to sell it anymore actively and I think that is the next step if you want in the acceleration of the transformation.
Bracken Darrell: That is installed to your knowhow here, but in case you’re not as familiar with when we say SaaS Software as a Service is what we're referring to.
Felix Remmers: Sure. Okay thank you very much.
Bracken Darrell: Thank you.
Operator: There are no further questions at this time. I would like to turn the conference back over to Mr. Darrell for closing remarks.
Bracken Darrell: Okay thank you very much. I'll just close with three or four things. First we’re really proud and excited about the year we just closed. This retail strategic which is obviously what we’re focused on in constant currency 6% for the full year, 7% in the back half of the year and then guiding up going into next year, I think we’re just in the right place on this. The second one is we're very proud of the earnings performance. It took a lot of work to get there and I think we've really got all the engines firing underneath the plumbing that's working to make sure that we have our earnings just continue to improve over time. The third one is you know it you heard it and we've it, we're really organizing this business including the exit of OEM to focus and double down on retail strategic. That's what Logitech is going to be going forward. And I think you will be excited about some of the surprises we have in store in that area in the next year. So with that I am going to close. Thank you all very, very much for attending and we're going to go out in the sun here Zurich.
Operator: That concludes our conference call for today. You may now disconnect. Thank you.